Operator: Good day, ladies and gentlemen, and welcome to the Fiscal Year 2015 Eagle Materials, Inc. Earnings Conference Call and Webcast. My name is Mark, and I'll be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Steve Rowley, President and CEO. Please proceed, sir.
Steven R. Rowley - President, Chief Executive Officer & Director: Thank you and welcome to Eagle Materials conference call for the fourth quarter and fiscal year 2015. Joining me today are Craig Kesler, our Chief Financial Officer; and Bob Stewart, Executive Vice President of Strategy, Corporate Development and Communications. There will be a slide presentation made in connection with this call. To access it, please go to www.eaglematerials.com and click on the link to the webcast. While you're accessing the slides, please note that the first slide covers our cautionary disclosure regarding forward-looking statements made during this call. These statements are subject to risks and uncertainties that could cause results to differ from those discussed during the call. For further information, please refer to this disclosure, which is also included at the end of our press release. I am pleased to report that our fiscal year revenues were $1.1 billion, an all-time record and increased 19% from last year. Eagle's earnings per share increased significantly as a result of much improved net sales prices and improved sales volumes across nearly all business lines. And as we mentioned in the press release, the impact of settling our litigation with the IRS benefited the fourth quarter and annual results by approximately $0.39 per diluted share. We also recently reached an agreement to acquire Holcim's slag grinding facility in South Chicago. This facility is a great complement to our existing Midwest cement facilities and will enhance our marketing efforts throughout the Midwest. A 5% increase in our annual cement sales volumes and a 6% increase in net cement sales prices were the primary drivers of the increase in Eagle's annual comparative of cement, concrete and aggregate results. While weather conditions at Texas have been very soggy, our customers continue to enjoy a robust backlog of business. Even with the slow start to the year, we expect cement demand in Texas will increase by approximately 5% to 18 million tons. We recently implemented cement price increases across all of our cement markets. Increased wallboard average net sales prices and increased sales volumes drove a 13% increase in our annual comparative of wallboard and paperboard revenues. Operating earnings in our wallboard and paperboard businesses improved 28% to $177.4 million for the fiscal years. Our paper mill continues to perform exceptionally well and set an annual record for operating earnings. Eagle's oil and gas profit annual fiscal results reflect the ramp-up of our greenfield frac-sand business during fiscal 2015, as well as the acquisition of CRS Proppants on November 14, 2014. The recent reduction in oil and gas rig counts and declining well completion activity has affected near-term demand for proppants which, in turn, impacted our fourth quarter frac-sand financial results. This past quarter was difficult as sand suppliers and sand consumers reacted to the changing environment of stacking rigs and moving rigs. We have worked closely with our customers to navigate the cycle and strengthened our customer relationships. From a strategic perspective, we will take advantage of this opportunity to cost effectively build out our outreach to target shale plays and strengthen our long-term low-cost positions. Now, let me turn this over to Craig for more details on the financials.
Dale Craig Kesler - Chief Financial Officer & EVP-Administration: Thank you, Steve. During fiscal 2015, Eagle generated $234 million of cash flows from operations, a 37% increase from the prior year. Cash was utilized to fund $112 million of capital expenditures, acquisition spending of $237 million and dividends of $20 million. In addition to the cash flow from operations, we funded the acquisition with borrowings under our bank revolver. As we mentioned in the press release, we finalized our settlement with the IRS regarding the Republic acquisition during the fourth quarter, and a result, we recorded a tax benefit of approximately $16.6 million and an interest recovery of $4.4 million. Excluding this one-time benefit, our effective tax rate for the year was approximately 33%. And as this last slide reflects, Eagle continues to generate meaningful cash flow from operations as we benefit from improvement in construction activity across a larger footprint of operations while improving our low-cost competitive position. Eagle's net debt to cap ratio was 33% at March 31, 2015. Thank you for attending today's call. We will now move to the question-and-answer session. Mark?
Operator: Your first question comes from the line of John Baugh from Stifel. Please proceed.
John A. Baugh - Stifel, Nicolaus & Co., Inc.: Thanks. Good morning. And I guess the first one is a clarification. You mentioned due diligence costs relating to, quote, construction products business. Could you be more specific what that is?
Steven R. Rowley - President, Chief Executive Officer & Director: Yeah. So, we obviously continue to look for growth opportunities. And we are actively pursuing them and it's related to those activities.
John A. Baugh - Stifel, Nicolaus & Co., Inc.: Okay. And then, is that across all segments or concentrated in one segment?
Steven R. Rowley - President, Chief Executive Officer & Director: Concentrated primarily in one segment.
John A. Baugh - Stifel, Nicolaus & Co., Inc.: Okay. And then, on the Proppants side, could you give us some color on the volumes in both the greenfield and CRS? And then, my understanding is CRS is largely take-or-pay, and I know there's seasonality or some level of seasonality, but I'm just curious how the two businesses contributed individually to the EBITDA loss in the segment?
Steven R. Rowley - President, Chief Executive Officer & Director: Yeah. We are continuing to work on the integration process with CRS. We expect that process to be fully completed by calendar year end. And in addition to that, we're just now finding – we're nearing completion of some planned efficiency and customer convenience modifications in South Texas. We'll start commissioning that – those modifications here very soon. Expect those systems to really be fully operational by mid-July. So, a lot of this is just getting our systems in place, but we really are in the early stages of the business and working to make sure that functions appropriately. Long-term, we're very, very excited about our long-term low-cost position. And we're going to continue to work to enhance that while – and as you improve your position, it's not only good for yourselves, it's also good for your customers to drive your ability to get sand to the marketplace lower and lower. So, we're very pleased with the progress we've made in this business.
John A. Baugh - Stifel, Nicolaus & Co., Inc.: So, just to – and I'll defer to others, but just to be clear, CRS generating a profit before integration expense and before systems changes and some of the things you're talking about, and the losses are still in Texas primarily or any kind of help along those lines. Thank you.
Steven R. Rowley - President, Chief Executive Officer & Director: We could say this quarter, obviously, you're going through a period of time where you had a major adjustment in demand for proppants associated with what's happened to the price of energy. So, you're going to kind of need to let the dust settle. And while the dust is settling, you're going through a period where you work with your customers as they work with their customers to mix and match where the demand needs to be. Oil rigs are not something that are put up and stay in one specific location. They're going to move to where they have the best chance to produce oil at a profit. So, you're going to go through a transition where you need – where your sand might have been going to one location, then it's going to shift to another location, and it just takes a while to work through all of that stuff and it takes a while to work with the customers to make sure your flow of product to them is appropriate; and that's really what's occurring. So whereas, when things are really tight a lot of stuff may be picked up directly at your plant, as things shift and move around, a lot of it tends to shift back more to a delivered basis to the specific targeted shale play; and we're just in that transition period and getting all that worked out. At the end of the day, yes, we have – this business is run with a lot of take-or-pay contracts. But when the demand is dropped as dramatically it has, rig counts are nearly in half, oftentimes, certainly, until you get through the process, you are going to have a short-term period where it's hard to match supply with this changing demand. It takes a quarter or two. Once that's done, everybody is readjusted and everybody is refocused, and then you move forward. So we're not surprised by this, and we're very happy we've worked very, very closely with all of the contracted customers that we enjoy as part of the CRS acquisition, and have come to a very, very good understanding of how collectively we're going to move forward and maximize the opportunity for both companies.
John A. Baugh - Stifel, Nicolaus & Co., Inc.: So, Steve, just to be clear, the economic value, if you will, of those contracts on the take-or-pay are still largely intact, albeit, with maybe a little bit – difference in timing?
Steven R. Rowley - President, Chief Executive Officer & Director: So, the answer is they are intact, maybe even expanded, okay? And – but yes, certainly, you're going to have to have some back-end loading and it depends on how you work it. Certainly, the volumes will be back-end loaded somewhat because you have this huge disruption for the near-term. And sometimes, again, to make sure that your customers are competitive, maybe some of the pricing gets back-end loaded. So you work through that on a case-by-case basis with each customer to make sure your customers can be successful. At the end of the day, we're not going to win unless our customers win and we work very closely with them to make sure they can be successful.
John A. Baugh - Stifel, Nicolaus & Co., Inc.: Great. That's for that color. Good luck.
Operator: Your next question comes from the line of Trey Grooms from Stephens. Please proceed.
Trey H. Grooms - Stephens, Inc.: Hey. Good morning. First question is the third-party sand that you guys were selling in the past, where are we on that? Is that behind you? How should we be thinking about the impact there on overall frac-sand profitability? And then, with the demand outlook, the systems changes you're talking about, integration, with all of these things playing a role as well as the third-party sand and everything else. At what point should we start thinking about this business returning to profitability, frac-sand?
Steven R. Rowley - President, Chief Executive Officer & Director: So, the third-party sand is behind us now. It have some impact this quarter and certainly had some impact as spot market pricing went down in the quarter, so most of that was sold on a spot basis. But now, that is all behind us and we are looking forward to, again, a transition year this year. But very, very comfortable that as the year progresses, the results will get better and better and as we get into next year, the results will be much improved. So, really, we really love this business, we love our position and are going to continue to – obviously, we have plenty of cash flow as a company. We're going to continue to enhance our position and improve and our low-cost position in all of the targeted major shale plays.
Trey H. Grooms - Stephens, Inc.: And with that, some of these changes that you're making, I think, the system changes you talked about in the back half of this year, that was going to come through. Is that combined with what you're seeing with the change from third-party? I'm just trying to get our hands around, at least in the ballpark of how we should be thinking about the business for this year. You say it should be improving. But is there any sense of the negative $6 million this quarter, could that turn to positive, you think, by the end of the year?
Steven R. Rowley - President, Chief Executive Officer & Director: I would anticipate by the end of this fiscal year, very much improved positive results.
Trey H. Grooms - Stephens, Inc.: Okay. Perfect. That's what I was going after, Steve. And I appreciate the color there. On Texas cement, you mentioned that you're expecting it to be up 5% this year. This would imply an improvement, obviously, from what we saw in the first quarter. How much of the 1Q weakness do you think was weather-related? And can you talk about what you're seeing from underlying demand in Texas now in cement?
Steven R. Rowley - President, Chief Executive Officer & Director: Sure. The backlog, as I mentioned on the prepared comments, is exceptionally strong. There is just a lot of construction activity in Texas. And once the rain stops, the cement floodgates will need to open up to take care of the backlog of business that's out there. So, yes, rain was the major factor. However, energy, we do supply well cement in Texas, and we expect our sales this year to be up by about 35% as far as well cement is concerned. These volumes are obviously, as I just mentioned, with the strength of the construction backlog that will be totally replaced by manufactured construction grade cement.
Trey H. Grooms - Stephens, Inc.: Okay. That's very helpful. My last question is just around the wallboard profitability. Nice incremental margins there. Can you talk about kind of what's behind that and how should we think about the incrementals there in that business going forward as we look through this year? Thanks a lot and good luck.
Steven R. Rowley - President, Chief Executive Officer & Director: Yeah. Thank you, Trey. The January price increases has been partially, but again fairly successfully implemented. Our price is up approximately $10 a 1,000 Q3 to Q4. That's – we're very comfortable with that and really think that that tells the story about the construction recovery. It is ongoing. It's not going off on a hockey stick type of approach but it's steady and ongoing. The demand for wallboard continues to improve. To put that into perspective, our April through mid-May, we're halfway through May now, wallboard sales volumes, they've increased about 25% over the January through March over the last quarter's ship rates. So, demand is up, pricing is up. We are feeling very good about the wallboard business.
Trey H. Grooms - Stephens, Inc.: All right. Thanks a lot, Steve.
Operator: Your next question comes from the line of Jerry Revich from Goldman Sachs. Please proceed.
Jerry David Revich - Goldman Sachs & Co.: Hi, good morning.
Dale Craig Kesler - Chief Financial Officer & EVP-Administration: Good morning, Jerry.
Steven R. Rowley - President, Chief Executive Officer & Director: Good morning.
Jerry David Revich - Goldman Sachs & Co.: I'm wondering if you, gentlemen, can talk about the upcoming September 15 environmental regulations in cement and whether you plan to do a $5 environmental surcharge or any similar pricing mechanism like we've heard out of one of your competitors. And then maybe separately, can you just touch on your prospects for each of your major plants to push pricing over the balance of the year?
Dale Craig Kesler - Chief Financial Officer & EVP-Administration: So, yes, we have implemented all the capital projects needed to be fully compliant with the new regulations that come into play. So, we're very comfortable that we're already there. We have just implemented price increases here early April in almost all of our markets maybe some earlier January, but we have implemented price increases. So, we're just now digesting that price increase. We're – in some markets where demand is very, very strong, we may look at some potential increases in prices. We're really at a point where volumes are so strong in some of our markets this year, we're going to run out of cement in the fall if we don't find a way to throttle them back. So, to put that into perspective, in cement, all of our markets – cement markets are up at least mid to upper single digit volume increases year-over-year. Okay. But in main markets, the volumes are up 20% year-over-year. And a lot of that had to do with polar vortex, but some of it is even beyond the polar vortex, just extraordinarily strong volumes right now. And we know the more we sell now, the bigger an issue it's going to be when the real crunch comes in in the fall. So, very excited about all of our cement markets. Really right now, scrambling to make sure we have all the product available. We've just completed our major maintenance at all of our cement plants so the plants are in tip-top shape going into this busy shipping season and we're going to do everything we can to make sure we don't let down any customers and have the cement they need as construction continues to pick up.
Jerry David Revich - Goldman Sachs & Co.: Okay. And then from a capital deployment standpoint, Craig, your net debt to EBITDA is approaching, I think, one times or so. Can you talk about your target levels of leverage and how you're thinking about uses of capital from here? You've been active from a buyback standpoint in the past. Where does that stack up in your priority list at this point?
Dale Craig Kesler - Chief Financial Officer & EVP-Administration: Yeah. We continue to look for growth opportunities. As we've mentioned in the past, we have pretty high hurdle rates, so we're particular about the growth opportunities. And as business continues to improve like it is right now, more than likely we believe that the amount of cash generated will grossly exceed the demand for growth whether it's greenfield or acquisition. So, yes, we know that as we go forward, we need to find a way to appropriately for all of our shareholders return some of the cash.
Jerry David Revich - Goldman Sachs & Co.: Okay. And lastly, on the frac-sand side, your competitors are posting $20 per ton to $25 per ton EBITDA profits, and I'm wondering can you flesh out for us when you expect to get to those levels, I guess, in your wallboard and cement business. We're not used to you folks trailing your competitors on a profitability standpoint. Maybe you could just flesh out for us when you expect your business to get to those levels?
Dale Craig Kesler - Chief Financial Officer & EVP-Administration: So, you're talking about – you mentioned the cement and the wallboard, and the frac-sand?
Jerry David Revich - Goldman Sachs & Co.: Yeah. So, the better way to ask that question is in frac-sand, your competitors are putting up $20 per ton to $25 per ton EBITDA contributions in their sand businesses at this point, and obviously, we're seeing losses in your business this past quarter, when do you expect that gap to be close?
Dale Craig Kesler - Chief Financial Officer & EVP-Administration: So, an EBITDA basis, we're at that same level.
Jerry David Revich - Goldman Sachs & Co.: All right. But we'll follow up offline. Thank you.
Operator: Your next question comes from the line of Kathryn Thompson from Thompson Research Group. Please proceed.
Kathryn Ingram Thompson - Thompson Research Group LLC: All right. Thanks for taking my questions today. The first is on cement. Could you give some clarification on how readily did the market accept the $13 per ton well-grade cement price increase in January? And then, we would assume that based on reported results, it was decent acceptance, but more clarity there. And then a follow-up on pricing again for the $10 per ton increase in January. Could you clarify is this for all markets? Thank you.
Steven R. Rowley - President, Chief Executive Officer & Director: So some of the pricing in January occurred and it was not in all markets. And then some of the pricing has been implemented at early April. I don't know that it's the full $10, but in some cases, we're getting near that, at least we look year-over-year some of our individual businesses. With respecting to get very specific about pricing to specific customers or specific segment of our customers, we're not going to answer that question, Kathryn.
Kathryn Ingram Thompson - Thompson Research Group LLC: Okay. For frac-sands, switching to that business, specific to Q4, what was the purchase accounting impact to EBIT? You gave the annual number, but want to just to make sure that we get clear on the Q4 impact. And then, if you could give some guidance on how we should think about modeling DD&A expenses on a go-forward basis as we look to model through fiscal 2016.
Dale Craig Kesler - Chief Financial Officer & EVP-Administration: Hello, Kathryn. This is Craig. So, the sand business, when we – you have step-up inventory that happened in November 2014. So, the $1.5 million, not quite $1 million, but a $1 million in this quarter came from the – was with expense during this quarter from step-up in inventory. And then, in terms of depreciation and amortization for the entire business, so for the fourth quarter and this is the total company of Eagle about $21.7 million of depreciation, depletion, and amortization, the most significant change there coming through the frac-sand business, as you would expect. So, cement was about $7.9 million in DD&A, wallboard was about $5 million, paper $2.1 million, concrete and aggregates was $1.5 million, and then the step-up here for the oil and gas proppants business was about $4.9 million, and that was $0.5 million a year ago in the fourth quarter and then, about $400,000 in corporate and other. So, the total of $21.7 million. And I'd say it should range in that for the remainder of fiscal 2016 depending upon the activity levels, but that would be a pretty good run rate to use for the year.
Kathryn Ingram Thompson - Thompson Research Group LLC: Okay. Thank you. And then final follow-up on frac-sand. So, CRH – CRS, excuse me, is shut down for a portion of quarter due to cold weather just purely from a seasonal standpoint. How long are these shutdowns typically in your fiscal Q4 and what were the fixed costs recognized in the quarter specifically related to CRS?
Steven R. Rowley - President, Chief Executive Officer & Director: The wet operation shuts down in the winter, but the dry plant stays fully operational, and in fact, we completed construction of the second dry plant this quarter. And it's up – fully up and operational, so doubling of the capacity of that plant has been completed and they're both fully functional. So, you really don't have a shutdown of the dry plant, a shutdown of the mine and the inventory that you build up to be able to have enough sand to run through the winter that occurs.
Kathryn Ingram Thompson - Thompson Research Group LLC: And what were the fixed costs recognized in the quarter? So – and we would assume that you're not – and maybe another way to ask is, when you look at the volumes that were generated in the quarter for frac-sand, what rough portion came out of your – what was actually from CRS? I'm just trying to get a sense of – from a seasonal standpoint, we would assume this would be a very low quarter, but we just need clarification and hand holding on that.
Dale Craig Kesler - Chief Financial Officer & EVP-Administration: Kathryn, as Steve mentioned, the wet plant and the mine are down during the winter months given the seasonality of that north. So you – for accounting purposes, expense fixed cost through that time period, you're talking roughly $1 million, maybe a little bit more than that. Given that we're starting up another plant, as Steve alluded to, it's difficult to look at that perfectly. But that would have been the impact during the quarter.
Kathryn Ingram Thompson - Thompson Research Group LLC: Okay, great. Thanks very much for taking my questions.
Operator: Your next question comes from the line of Adam Thalhimer from BB&T Capital Markets. Please proceed.
Adam Robert Thalhimer - BB&T Capital Markets: Hey. Good morning, guys.
Steven R. Rowley - President, Chief Executive Officer & Director: Good morning.
Adam Robert Thalhimer - BB&T Capital Markets: On the – I wanted to ask about the pricing in JV cement. And I think you said that you'll switch by year-end from oil well to construction. What's the impact there on pricing?
Steven R. Rowley - President, Chief Executive Officer & Director: So, we really look at it on a margin basis. And we're going to switch some of it, not all. We're going to say our well cements are going to be off about 35% this year, that's our estimate. And then when that happens, you switch and produce construction grade. What occurs then is that the plants, say, will operate more efficiently and produce more volumes. So, you'll get some incremental sales, manufactured sales associated with it. So, it's more costly and the plant operates at a much lower rate when you produce oil well cement. So, you really get a double impact there, that's good. So, pricing has come up dramatically in the last year, year and a half in Texas and it really starts bumping into the pricing of the well grade cement. And so, then what happens is then that when you look at the – what's the best thing to do with business as the pricing of construction-grade cement starts approaching the pricing of well cement, and now you're losing, let's say, roughly 15% of plant capacity, you start to ask yourself is it better to produce well cement or construction-grade cement. Well, we've said, we know that this business is cyclical, both of them, and what we've done is said that over the long-term, we'd like to be in both businesses, and so we are going to supply to the energy services as much well cement as we could possibly supply irrespective of what's happening in the construction grade market. But you do need to have pricing appropriate or just – or makes it even a more difficult decision. So, for many, many years, we've said we're not going to turn away well customers just because we can make more money on the construction grade. That's still the case. But if it gets really crazy and if the price of well cement goes down dramatically, then that decision gets tougher and tougher but we'll have long discussions with our customers and say, lucky, you're putting us in a very, very difficult position. So, those are part of the discussions, so I didn't really want to get into a lot of details about that earlier. But we look for long-term partnerships and how we're all going to win over the long-term. And we can help you out now. You can help us out later and how do you best balance all of that between the broad base of customers and the product mixes that you have. And this isn't just in cement. It's in wallboard and paper and everything we do in the frac-sand. So, you look for long-term solutions and way to, yes, with all your customers that allows everybody to enjoy good results and be successful over a much longer term basis than what happened in the last quarter.
Adam Robert Thalhimer - BB&T Capital Markets: Okay. Thanks for that color. And then on the wallboard volume, did you say earlier in the call the quarter-to-date you're up 25% year-over-year?
Steven R. Rowley - President, Chief Executive Officer & Director: 25% sequentially versus the January quarter – or March quarter. So, January through March sales volumes, April to mid-May, we're up 25% versus our fourth quarter in wallboard volumes.
Adam Robert Thalhimer - BB&T Capital Markets: Okay. And the last thing I wanted to ask about was this slag acquisition. How should we think about that in terms of contributions?
Steven R. Rowley - President, Chief Executive Officer & Director: So, obviously, this is – we're going to take ownership of the business about halfway into a shipping season. So for us, our success is what's been currently put in place by the existing owner, and we have everything set up to have a smooth handoff and to be able to make sure any commitments that they have made that we'll be able to keep up and deliver the slag to the customers. For us – and maybe just a little understanding of what slag cement is all about, it is primarily used and needed for alkali-silica reactivity mitigation. That's more than a mouthful, but so is the problem. What slag cement provides is an additive that allows the production of durable concrete when using suspect sand and aggregates that are often the only reasonably cost source of sand and aggregates in a local concrete market. So, if you had some difficult – different, difficult construction, the aggregates for the ready-mix customer, they won't be able to produce a quality concrete without the addition of slag. So, excited to have that added to our products and to be able to service a much broader base of customers by being able to, where they have an issue with aggregates, supply something that will help them produce a high-quality concrete.
Adam Robert Thalhimer - BB&T Capital Markets: Got it. Okay. Thanks, guys.
Operator: Your next question comes from the line of Brent Thielman from D.A. Davidson. Please proceed, sir.
Brent Edward Thielman - D. A. Davidson & Co.: Yeah. Hi. Good morning. As far as cement goes, recognizing the market's tightening, but with pricing up and the dollar high, are you starting to see more imported cement coming into the markets you serve?
Steven R. Rowley - President, Chief Executive Officer & Director: Not necessarily. We're still importing a lot. There's a huge shortage here in Texas, and so those imports are coming in even though – we talked about a little bit the wall cement, but that gets shifted over to manufactured. We still have a – there's still a huge shortage in the Texas market. I can't speak – that's the only market that we currently are importing cement into. We're water-falling some around from some of our other plants as we explained with the sunshine acquisition. It allows us to move cement, then, in between companies where some markets are stronger and other plants may have some seasonality factors impacting them. But that's currently – the only place that we are importing cement is into Texas and we're going to import as much as we can this year.
Brent Edward Thielman - D. A. Davidson & Co.: Okay. And then on the proppants side, you talked about what you're trying to do with CRS, the integration processing kind of improving the cost position there, do you still see a lot of low-hanging fruit in your greenfield operation, and where might the bulk of that opportunity be there as well?
Steven R. Rowley - President, Chief Executive Officer & Director: Yeah. So, again, we continue to modify that to improve our cost position and, of course, a big part of that was being able to produce our own sand. Our own mine just started up last July, and then we had to work through the inventory of the purchased product. That's all up and running, all very effective, all very low cost. We continue to look at opportunities to take $0.50 out here, a $1 or $5 out here by utilizing our balance sheet and putting in appropriate capital projects. We also, as I mentioned in South Texas, wanted to make sure that we are the most convenient supplier of high-quality cement to the Eagle Ford. And we have – all of that process will be complete kind of by mid-July; so, really positioning ourselves going forward as the lowest cost, most convenient supplier of high quality Northern White Sand to the Eagle Ford. That was our first goal from a greenfield basis. Now, we are looking at doing the same in other targeted shale plays.
Brent Edward Thielman - D. A. Davidson & Co.: Okay. And then, on the lines of putting that cash and maybe that balance sheet to work in the proppants business, are you more focused right now on the distribution side or is adding additional production capacity still potentially of interest?
Steven R. Rowley - President, Chief Executive Officer & Director: So, we're doing both; and it depends on the size of the target shale play. So, if a targeted shale play is not quite as massive, that would be a distribution play. If a targeted shale play is long-term, it's big, and it's massive, we're going to do the right thing and put production capacity in place.
Brent Edward Thielman - D. A. Davidson & Co.: Okay. And then, maybe just last one for Craig, any estimate on CapEx for fiscal 2016?
Dale Craig Kesler - Chief Financial Officer & EVP-Administration: Yes. Obviously, with Skyway, that's going to be about $30 million that we expect to spend in our fiscal second quarter pending the outcome of the global Lafarge-Holcim merger. Above and beyond that, we're going to be in the $60 million to $70 million range depending upon timing of projects there in the cement business, continue cost reduction projects as we've done over many years. And then, as Steve alluded to, the further build-out of the sand business, but that's a good place to start with for the year.
Brent Edward Thielman - D. A. Davidson & Co.: Okay. Thank you.
Operator: Your next question comes from the line of Jim Barrett from C.L. King & Associates. Please proceed.
Jim R. Barrett - C.L. King & Associates, Inc.: Good morning, everyone.
Steven R. Rowley - President, Chief Executive Officer & Director: Morning.
Jim R. Barrett - C.L. King & Associates, Inc.: Steve, that the wholly-owned plants appear to have an outstanding quarter, was that especially considering the weather, was the March quarter – is that the new normal in terms of operating profitability or was it a light quarter year-over-year in terms of maintenance?
Steven R. Rowley - President, Chief Executive Officer & Director: Sometimes, you have maintenance that hit a little bit in the fourth quarter, but mostly we have generally shifted most of our major maintenance in the first quarter and I think that's what happened last year. But we did last year, if you remember, had a brutal winter. And that really had an impact – probably a larger impact for sure than any maintenance cost in the quarter. This year, we didn't have just a normal shipping in the winter. We had a very robust shipping season for our businesses in the quarter. And as we've done in April and May, the demand continues to increase. So, the construction of the business is improving whereas before, we would be talking about it improving in Texas and in the mountain regions. Now, it's improving in all of our markets.
Jim R. Barrett - C.L. King & Associates, Inc.: Okay, sounds good. And then on the slag business, can you tell us what the incremental profitability you expect from that business going forward?
Steven R. Rowley - President, Chief Executive Officer & Director: Let's get the keys first before we get into that.
Jim R. Barrett - C.L. King & Associates, Inc.: All right. Okay. Well, thank you.
Steven R. Rowley - President, Chief Executive Officer & Director: Mark? Operator?
Operator: Garik Shmois from Longbow Research. Please proceed.
Garik S. Shmois - Longbow Research LLC: Hi. Thank you. Question on Oil and Gas Proppants, now that you – it sounds like you've finished the expansion of the CRS plant, recognizing that it's a very challenging environment, I was wondering if you, though, could help us understand a little bit how that added volume is going to feather in through fiscal 2016?
Steven R. Rowley - President, Chief Executive Officer & Director: Yeah. So, that added volume will start to feather in really primarily in the last quarter of this year. So, we can say that these next couple of quarters as, again, we mentioned earlier, you're kind of letting the dust settle in the energy market and everybody figure out where sand needs to go and who needs it and which market, which shale play the sand needs to go to. So, we anticipate really seeing the need for that in our fourth quarter of this coming year.
Garik S. Shmois - Longbow Research LLC: Okay. Thanks for that. Switching to wallboard and paperboard, is it possible to quantify how much of any – was there a benefit of lower energy cost?
Steven R. Rowley - President, Chief Executive Officer & Director: Very little, very little to speak of.
Garik S. Shmois - Longbow Research LLC: Okay. So, the profit improvement was primarily a function of revenue growth?
Steven R. Rowley - President, Chief Executive Officer & Director: That's correct.
Garik S. Shmois - Longbow Research LLC: Okay. And then on Texas JV cement volume, you've indicated an outlook of 5% volume growth in Texas for the year. Just wondering how we should think about your volumes under the JV given the context of your broader Texas market outlook. Do you think you can grow in line with the market or will the 35% anticipated decline in oil well volume be a more significant headwind that you can't overcome?
Steven R. Rowley - President, Chief Executive Officer & Director: Yeah, so the – no, the well cement, that's just not an issue. It shifts right over in its manufactured sales and it's easy and the customers are there and we don't have a problem moving that around. However, when you've had three months or four months or five months of really wet weather, sometimes when the spigot opens, the spigot opens faster than you have pressure to put the cement out. So, depending on how fast that comes, what usually happens is there will be a shortage of cement in the market. You won't be able to produce it quick enough. Your competitors won't be able to produce it quick enough. The customers are sitting there just chomping at the bit waiting for the cement to come and it just takes a while then to work that through. So, you will – I do anticipate there will be some movement at least quarter to quarter in how cement is sold in Texas, but typically, then you'll look to bring other sources in, whether we're bringing it from some of our sister plants, or whether we're trying to find a way to – in addition to bringing imports in, buying cement from some of our other competitors in nearby markets to help the shortfall that clearly we're going to see in Texas. But the demands there for that kind of rate of cement, the problem is sometimes the mills don't quite have the instantaneous ability to meet that. So, we're going to have a very busy and a very complex summer trying to make sure that all of the customers have all of the cement they need for their backlog of business.
Garik S. Shmois - Longbow Research LLC: Okay. So, it's fair to assume that the gap that we saw between your volume performance in the JV in the broader Texas market in the March quarter, that gap is not sustainable. It's going to narrow and it's going to look probably more similar to what the Texas market is going to look like over the next several quarters.
Steven R. Rowley - President, Chief Executive Officer & Director: Absolutely.
Garik S. Shmois - Longbow Research LLC: Okay. Thanks. Last question, just curious on the slag cement plant that you bought, is there any possibility that you can convert that plant to a clinker plant over time or is it just something that doesn't happen within – just your capabilities?
Steven R. Rowley - President, Chief Executive Officer & Director: You make clinker in a kiln and to put a kiln and to be able to make clinker there, you would have to go through a massive permitting. You generally need a limestone source and it takes a long time to get a permit to build a kiln that produce clinker. So that probably – producing clinker at that site is probably not – it was designed to take a byproduct of a steel mill and produce a cementitious product that has all these properties that we talked about earlier.
Garik S. Shmois - Longbow Research LLC: Okay. Thanks for the help. Good luck.
Operator: Your next question comes from the line of Rob Hansen from Deutsche Bank. Please proceed.
Rob G. Hansen - Deutsche Bank Securities, Inc.: Thanks. I just wanted to revisit the cement slag operation that you're purchasing. How does that impact the price of ready-mix concrete when you add slag and what's the typical replacement rate that you see there? And will this be used externally or you'll still be selling this actually, or will you eventually integrate this into your own cement operations?
Steven R. Rowley - President, Chief Executive Officer & Director: Yeah. So, the answer is we will do both. We will sell it directly. We'll also take it to some of our cement facilities, and sell a 1-SM and then maybe a couple of other grades to where we blend the slag with our cement, so it doesn't have to be blended at the job site. So, we're doing both, a lot would be selling slag straight, direct as slag and the customers can blend it at whatever percentages he chooses, and we'll also be making these other products in our plant. Typically, the substitution rate is 20% to 25%. It can be as high as 40%.
Rob G. Hansen - Deutsche Bank Securities, Inc.: Got it. Okay. And then, I just wanted to clarify in your cement business, as the volumes dry up in the oil well cement, so that means that we should be looking at like an upward drift in cement margins as you're doing more regular cement?
Steven R. Rowley - President, Chief Executive Officer & Director: We'll see at least as far as manufactured sales will have an upward drift in manufactured sales as the kiln production is higher producing manufactured clinker or construction-grade clinker versus well-grade clinker. But the margins are different in both of them. And so it's a combination of more volume and maybe still a little lower margin, but more volume and the incremental sales, so it's not a simple calculus.
Rob G. Hansen - Deutsche Bank Securities, Inc.: Okay. Thank you. And then one last one is just, you mentioned the wallboard demand up 25% quarter-over-quarter. How does this compare to normal seasonality? Is this a little better than historical trends?
Steven R. Rowley - President, Chief Executive Officer & Director: Yeah. This is a little better. And again, with the price increase happening early January, a lot of our customers will build up some inventory in December, and then not buy wallboard, buy a little bit less in the first quarter. But it's also a good trend as we look at total wallboard sales for the first quarter this last year or this last quarter, we're up about 10%. We were only up about 5%. So, we didn't sell as much as some of our competitors, but we are now.
Rob G. Hansen - Deutsche Bank Securities, Inc.: Got it. Thank you very much, guys.
Operator: Your next question comes from the line of Scott Blumenthal from Emerald Advisers. Please proceed, sir.
Scott B. Blumenthal - Emerald Advisers, Inc.: Good morning, gentlemen.
Steven R. Rowley - President, Chief Executive Officer & Director: Good morning.
Scott B. Blumenthal - Emerald Advisers, Inc.: Steve, can you talk a little bit about cement imports, particularly as it relates to South Texas? Is the bottleneck still as bad as it was in the past? Is it still logistics-driven? Have there been any recent changes in the ship channel to improve the situation there or your ability to store?
Steven R. Rowley - President, Chief Executive Officer & Director: So, we're part of a large JV that has a very efficient large import terminal in Houston. And we are taking full advantage of our part of that JV. And I know there are a couple other terminals in Houston that have not been fully functional, but one had been partially functional, one had been shut down for four years or five years, needed a lot of dredging to get it going. I believe that dredging has taken place, but it's an area that typically when you have weather over time, you're always going to have to come back and dredge it. That gets costly and you have to add that into the price of the imported cement that you bring in. So, I know that some of that is happening, but, hey, it's needed. We are woefully short of cement in Texas, and our customers need all the help they can get.
Scott B. Blumenthal - Emerald Advisers, Inc.: Okay. And I know that historically wallboard is not the favorite business in your portfolio, but can you talk a little bit about capacity, especially – or utilization, I mean, especially in kind of the New Mexico, Texas, Arizona area? And if you're seeing things in Phoenix tightening to the extent that you may consider maybe taking your other plant in New Mexico out of mothballs?
Steven R. Rowley - President, Chief Executive Officer & Director: Well, first of all, we love all of our businesses. So, we don't really play favorites. We find ways to make these businesses extraordinarily successful and we work – and all the people working in these businesses have done an extraordinary job.
Scott B. Blumenthal - Emerald Advisers, Inc.: I agree.
Steven R. Rowley - President, Chief Executive Officer & Director: So, from paperboard to wallboard, to cement, concrete and aggregates, while we – sometimes we had some pretty small positions, but all of them are exceptionally well-run and we're proud of every one of them. As far as demand, demand is starting to pick up in Southern California. As demand picks up in Southern California, sooner or later that demand ends up rolling over into the Arizona market. We anticipate that happening in the next year to year and a half. We don't know, right? When that occurs and as housing – like I said, we don't see it – housing going up in a hockey stick, but we see it going up very steadily and very stable. And what we're looking at is a very long-term steady increase in demand for housing for a much longer period than the normal cycle. So, we actually see this as adding stability both in the homebuilding as well as in the building materials that are supplied to the homebuilding; adds, actually, stability to the whole business and the whole – the business of both manufacturing and selling the homes into the marketplace. We actually see this as something that is going to provide better stability for the companies that are in these businesses and will reduce some of the volatility of the earnings.
Scott B. Blumenthal - Emerald Advisers, Inc.: Okay. Thank you.
Operator: Your next question comes from the line of Trey Grooms from Stephens. Please proceed.
Trey H. Grooms - Stephens, Inc.: All right. Thanks for sneaking me in for one last question, guys. Being – I live here in the south as well, and it's been very wet here, obviously, in the spring, but even into April and May. Just wondering if you guys could comment a little bit on if there's been some weather impact on your cement business there in Texas, again, this quarter. I understand the underlying demand trends are definitely favorable, but I guess weather is what it is. And just trying to figure out if we need to make some adjustments for weather impact as we look into the 2Q as well – or 1Q for you.
Steven R. Rowley - President, Chief Executive Officer & Director: If I want to get into a little more in-depth into the Texas raining season, to put it into perspective, kind of in the January timeframe, many Texans (52:46) were being warned that there would not be enough water this summer for the swimming pools and you may not be able to enjoy the use of those. Right now, all of our – or at least all of the reservoirs, or the majority of the reservoirs are full and the floodgates are wide open. So, yes, we've had an enormous amount of rain. Some impact, certainly, both to the – our own concrete and – our concrete business in Central Texas and, again, obviously, some impact to the sales, but still sales are still – even with this weather and – that's when you know construction is good, when people are, in between these massive rainstorms, pouring a lot of concrete just because they have that much work and that big of a backlog. So, while there has been some impact, it's not a total washout and it doesn't rain all day long. So, if business was difficult in this type of weather, you'd almost see construction come to a complete stop. You'd say, hey, my backlog is not there. I'm going to wait until it's easy to get the job done. But with the backlogs like this, any break in the weather, they're jumping on the job to get the work done.
Trey H. Grooms - Stephens, Inc.: That's real helpful, Steve. Thanks a lot.
Operator: Your next question comes from the line of Kathryn Thompson from Thompson Research Group. Please proceed.
Kathryn Ingram Thompson - Thompson Research Group LLC: Thanks. Just one quick follow-up question on frac-sand. In the prior quarter, you had indicated around 200,000 was about right in terms of the volumes that were sold in Q3. Were you at a roughly similar run rate for your Q4?
Dale Craig Kesler - Chief Financial Officer & EVP-Administration: Yeah, Kathryn. Certainly, as Steve and – we've talked about here, the market for frac-sand in our markets in South Texas, in particular, were slow in the quarter. We haven't, yet, really published specific volumes, but you're in roughly the same range.
Kathryn Ingram Thompson - Thompson Research Group LLC: Thank you very much.
Operator: I would now like to turn you over to Steve Rowley for closing remarks. Please proceed, sir.
Steven R. Rowley - President, Chief Executive Officer & Director: Thank you, everyone. And again, we're excited about all of our businesses and even our new business and looking forward to another record year in FY 2016. Thank you.
Operator: Ladies and gentlemen, that concludes today's call. Thank you for your participation. You may now disconnect. Have a great day.